Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 Standex International Corporation Earnings Conference Call. My name is Jeneda, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. David Calusdian. Please proceed. 
David Calusdian: Thank you, Jeneda. Please note that the presentation accompanying management's remarks can be found on Standex's Investor Relations website, www.standex.com. Please see Standex's Safe Harbor passage on Slide 2.
 Matters that Standex's management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's recent SEC filings and public announcements for a detailed list of risk factors. In addition, I would like to remind you that today's discussion will include references to EBITDA, which is earnings before interest, taxes, depreciation and amortization; adjusted EBITDA, which is EBITDA excluding restructuring expenses and onetime items; non-GAAP net income; non-GAAP income from operations; non-GAAP net income from continuing operations; and free operating cash flow. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the company's performance. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in Standex's second quarter news release.
 On the call today is Standex Chief Executive Officer, Roger Fix; and Chief Financial Officer, Tom DeByle. I'd now like to turn the call over to Roger. 
Roger Fix: Thank you, David. And good morning, everyone. Please turn to Slide 3. In addition to reporting our Q2 FY '12 financial results, we announced this morning, that Standex has decided to divest the air distribution products business. I'll start today's call with some comments on that.
 We came to the decision to divest the air distribution price business, or as we call it ADP, for 2 reasons. First, although ADP has generated significant profits and cash flow for Standex over the years, we do not believe it is core to our focused diversity strategy going forward. Our stated strategy is to focus our management attention and investments on businesses that provide value-added products and services to our end user market. In short, we want to be in businesses that allow us to differentiate ourselves from our competitors by providing not just products, but technical solutions to our customers, which we believe will allow us to generate superior returns for our shareholders over the long run. 
 As such, ADP is not well aligned with our focused diversity strategy as it is more commodity like. Further, its profitability and weight return profile are dilutive to our other strategic business units. The second reason for our decision to divest ADP at this point, is our belief that it will be quite some time before the U.S. housing market recovers to a level that will allow the ADP business to generate profit, margins and returns consistent with our expectations. ADP sales volume, and therefore its profitability, is highly correlated with the number of new housing starts in the U.S. Although there had recently been some signs that the housing market U.S. may have bottomed, we believe that any real bust recovery in housing starts is still several years into the future. As a result, we believe that it will be -- it will take considerable time before ADP's financial performance recover to the point that is no longer dilutive to our overall profit margin and asset returns. 
 Consequently, we believe it is in the best interest of our shareholders to divest the business now and to focus our efforts on driving profitable growth in our other strategic business units. We expect the fail to take place -- excuse me -- within the next 12 months and accordingly, we are reporting the ADP business in discontinued operations as part of our Q2 results. The decision to divest ADP will result in a net loss for the second quarter of fiscal 2012 and discontinued operations of $14.2 million or $1.11 per share. In order to reflect the carrying value of the business at its net realizable value. This loss includes noncash goodwill and real estate impairment charges and other expected transaction costs, which include cost related to withdraw liability associated with certain multiemployer pension plans that ADP is party to. 
 Note that the loss we are booking in Q2 is our estimate of the impact of the anticipated sale of ADP as of December 31. We are currently in negotiation with the perspective buyer and while no definitive agreement has been entered into, it is possible that we will incur additional charges in connection with the divestiture in the range of $0.18 to $0.23 per share, which we reported in discontinued operation during the third quarter if the transaction is concluded as currently structured. We anticipate using the expected sale proceeds to support the profitable growth opportunities that exist for other businesses. 
 Please turn to Slide 4. This slide illustrates the impact of a divestiture of ADP business on our trailing 12-month sales and non-GAAP profit in returns from continuing operations. As you can see, removing the ADP business improves our non-GAAP operating product margin by 90 basis points. EBITDA margin improves by 100 basis points and earnings from continuing operations excluding special item, improved by $0.07 per diluted share. Further, the sale of ADP will result in a decrease of $30 million in net assets, which when coupled with the improvement in profit margins, also improve asset returns. This is borne out in the asset ratio returns shown on Slide 4. 
 Return on investment capital improves by 40 basis points and return on net assets, or RONA, which we defined as net income divided by the total of fixed assets and working capital, improves by 300 basis points. We believe, and this is supported by feedback from the institutional investor community, that over the long run, improved profit margins and asset returns are significant factors in driving share price and therefore, shareholder returns. Accordingly, despite the write off we're reporting this quarter, we believe that divestitures of ADP business is a long-term best interest of our shareholders. 
 Please turn to Slide 5. Moving onto our results for our ongoing operations, we reported another good quarter in Q2. The sales up 9%. This reflected organic growth of 5.6% and 3.3% from recent acquisitions. All 4 of our operating groups reported year-over-year growth with 3 in double digits. The organic growth we recorded in Q2 is a result of our ongoing top line growth efforts. As we have discussed in our quarterly calls in the past roughly 1.5 years, each of our business units has developed and is executing on a number of organic growth initiatives. We believe these programs have been successful, as we not only see the results in our operational metrics, but also through the achievement of top line growth rates in excess of the economic growth rates that our end-user markets are currently demonstrating. 
 In terms of acquisitions, our Metal Spinners purchase has been a solid success, resulting in Engineering Technologies Group, sales and profitability growth this quarter. In addition, we continue to build a solid pipeline of acquisition targets. We continue to emphasize a lean cost structure, which is a result of restructuring actions completed during the past 3 years and our ongoing focus on improving operations and tightly controlling expenses. Our solid sales growth leverage against this cost structure resulted in a 10% increase in non-GAAP operating income with 3 of our groups reporting double-digit increases in profitability. 
 Please turn to Slide 6. The second fiscal quarter was a 10th straight quarter of non-GAAP trailing 12-month EPS growth. As a start illustrates, non-GAAP earnings for the trailing 12 months through the recent quarter were $3.16 per share. This EPS performance is 82% above our peak pre-recession earnings for $1.74 per share in the first quarter of 2009, yet our current trailing 12 months sales are still slightly below our sales at that peak. We're very pleased to see this continuing momentum in our earnings growth. Please note that the chart has been restated to exclude the impact of ADP activity from historical results. We'll discuss each of the business segments after the financial review and with that, I'll turn this call over to Tom. 
Thomas DeByle: Thank you, Roger. And good morning, everyone. Please turn to Slide 7. Net sales for the quarter were up 9% to $154.9 million from $142.1 million in the second quarter a year ago. Excluding special items, operating income grew 9.9% to $15.1 million from $13.7 million a year ago. Adjusted EBITDA grew 8.7% to $18.4 million. 
 As Slide 8 illustrates, net income from continuing operations for the quarter includes post tax $0.5 million of restructuring charges. The second quarter of 2011 included post tax $0.3 million of restructuring charges, $0.2 million in acquisition related expenses and a $0.2 million gain from a real estate transaction as well as a nonrecurring tax item of $0.3 million. Excluding these items from both periods, net income from the continuing operations increased 13.4% to $10.5 million from $9.3 million in the second quarter of last year. Earnings per share for the continuing operations excluding special items grew 13.7% year-over-year to $0.83 per share. 
 Slide 9 reviews our year-to-date performance. Operating income from continuing operations for the first 6 months of the fiscal year, including special items, was $30.5 million compared with $31.6 million in the first half of last year. Excluding special items, non-GAAP operating income increased 6.1% to $31.7 million. 
 Our year-to-date bridge outlining the special items is on Slide 10. Net income from continuing operations for the first half of fiscal 2012 was $21.9 million or $1.72 per diluted share, compared with $21.2 million or $1.66 per diluted share in the same period last year. Net income from continuing operations excluding special items, increased 11.4% to $22.2 million or $1.74 per diluted share. 
 Turning to Slide 11. Net working capital at the end of the second quarter was $116.4 million compared with $115.7 million at the end of Q1 and $103.4 million at the end of Q2 last year. Working capital turns were 5.3 in Q2, down from 5.5 turns at the end of Q2 last year. Working capital turns for the quarter were negatively impacted by safety slack related to 2 facility consolidations and then transition to a new metal supplier. However, we are nonetheless pleased to have working capital in the second quarter at over 5 turns for the third consecutive year. 
 Looking at Slide 12, we had free cash flow from continuing operations of $8.9 million during the quarter, as we successfully resumed converting our net income into cash flows from operations after an inventory build in the first quarter. Capital spending for Q2 was $2.8 million, in line with our expectation as we return our capital spending to being in line with depreciation or in the range of $10 million to $12 million. 
 Slide 13 illustrates our debt profile at the end of the quarter. Our net debt for the quarter was $37.6 million, and our ratio of net debt to capital was 13.3% at December 31, 2011. As we discussed last quarter, we signed our new revolver this past month, a 5-year $225 million unsecured facility. Based on our debt at December 31, the new facility leads up with $160 million of dried powder to use for organic and inquisitive growth initiative. Additionally, the new revolver has a flexible term that allow our agreement of surrounding acquisition and divestitures which will allow us to continue to execute on the focused diversity strategy. With that, I'll turn the call back to Roger. 
Roger Fix: Thank you, Tom. Please turn to Slide 15, Food Service Equipment Group, and I'll begin our segment overview. Food service sales were up 4.3% in the second quarter year-over-year while operating income declined by 2.7%. In refrigerator solutions group, we saw a strong sales growth to the quick serve and national chain restaurant market and also reported our first substantial orders in the emerging dollar store segment of the market. We expect this to be a long-term trend, although, due to a normal slowdown in construction and remodel activity that occurs in the winter months, Q3 will not be as strong as Q2 in this area. 
 Success in these segments in the market was partially offset by the continuing slowdown at retail drugstore customers. We have announced significant reductions in new store openings. They are doing more remodels, historically, which gives us a nice opportunity but this won't be enough to overcome the lower rate of new store openings. Scientific sales were also lower in Q2, that is due to lumpiness of that business. Margin refrigerated solutions were negatively impacted by product mix, pricing pressure in the walk-in business and labor inefficiencies as a result of the consolidation of Kool Star into our New Albany Mississippi facility in Q1 which have been addressed. 
 As a reminder, the consolidation eliminated redundant operations on the cold side and freed up room in Nogales, Mexico with a continued expansion of Cooking Solutions. We still expect to gain $1.5 million in annual savings from these moves. Growth from the Cooking Solutions was tempered by lower than expected sales that griddles to a prominent quick service hamburger chain. As we discussed on last quarter's call, we are providing griddles for this chain's premium burger rollout. We're hopeful that this delay will be short-term. 
 The top line was also affected by a softer demand from a grocery store segment in Europe, where our largest retail customer continues to delay store remodel plans. Our bottom line in Cooking Solutions was negatively affected by lower margins on a large sale of combi ovens. This large sale included training and installation, which carries lower margins. In addition, we had an unfavorable product mix in the quarter, but are working on cost reduction initiatives to enhance profitability of these lower margin price. And we fought some pricing pressures in certain segments of our cooking line. 
 This is also a quarter of strong growth in our custom solutions product lines driven by higher sales to convenience stores, buffet and cafeteria chain businesses and the general dealer channel. Looking forward, our Food Service Equipment Group will continue to focus on driving growth in both sales and improving operating margins. Our efforts to improve operating margins will be achieved to an improving pricing environment, the recently completed plant consolidations, purchasing and value engineering initiatives and from leveraging our top line growth. 
 Please turn to Slide 16, the Engraving Group. Standings in engraving sales were up 11.2% in the second quarter year-over-year while operating income was up 30.4%. This group turned in excellent performance in Q2 both on the top and bottom line. Sales were driven by strong demand at the Mold-Tech's rising business, primarily in North America as a result of automotive platform work; and China, where we continue to expand the business. We also experienced positive results from Europe. 
 During the quarter, we opened our fourth Chinese facility in the Fujian province on schedule. The facility, which provides texturizing services to manufacturers of televisions and other electronic products, began to contribute to revenues in the second quarter. As we've discussed previously, growth in the automotive sector and other key markets for engraving services is and will continue to come from the emerging economies. In order to position engraving to participate in this growth, last fiscal year, we purchase mold texturizing companies in India and South America -- South Africa, excuse me. At the same time, continuing our organic growth initiative in China by opening our third facility in Tianjin. 
 Over the next 12 to 18 months, we will be expanding our Mold-Tech rising infrastructure in sales channels in South America and the Pacific Rim as we are actively engaged in plans to grow in these regions. The Roehlen Engraving machinery business remains slow in the quarter due to the housing weakness. We also experience some economic related softness in Brazil. We do not expect the Mold-Tech's rising business to be as strong in the third quarter as in the second, because of lumpiness in the automotive OEM platform launches and some seasonality impacts. Going forward, we are very excited by the prospects for this business as we believe our global infrastructure and superior technologies represent very promising long-term prospects. 
 Please turn to Slide 17, Engineering Technologies Group. Engineering Technologies sales were up 33.5% year-over-year in the second quarter with operating income of 13.7%. The Metal Spinners business we acquired in Q3 last year fueled the top and bottom line growth for the segment. Strong demand from the owned gas market was primarily responsible for the significant increase in sales at Metal Spinners and we expect excellent potential from this market from the foreseeable future. Much of the work that we're doing right now at Metal Spinners is for the expansion of offshore oil production in Brazil and Africa. 
 In our Legacy Spincraft business, sales into energy-related margins continue to be negatively impacted by the inventory correction implemented by one of our major land-based gas turbine OEM customers. Based on recent forecast from this customer, we expect improvement in the second half of our fiscal year compared with the first but not yet back to historical levels. On the positive side, we had increased sales to the aerospace market, and we expect to report strong revenues in the segment for the year. We're very excited right now about our prospects in the space sector for both unmanned and manned space exploration programs. We have secured long-term orders through 2015 from the United Launch Alliance, or ULA, for unmanned space flight hardware. ULA exceed our historical run rate for this segment on the unmanned space market. 
 In the manned space flight segment of the market, we have several development programs underway to provide hardware for NASA's space launch system or SOS, manned space flight program. NASA announced SOS in response to a congressional directive this past summer whereby NASA has to developed the next generation deep space manned exploration system by using wherever possible existing technology and infrastructure. This positions our Spincraft business very well to participate in the this still emerging opportunity. 
 Please turn to Slide 18, Electronics and Hydraulics Group. This segment reported yet another solid quarter with 12.4% year-over-year top line growth and operating income growth of 14.8%. Double-digit sales growth of hydraulics drove the excellent sales performance. We continue to see a strong recovery in North America for dump trailer systems and new business we have captured in refused handling applications. There are also early signs of the domestic dump truck segment may be rebounding as well. Internationally, our efforts to capitalize growth in emerging markets are progressing very nicely as we experienced good growth in Mexico, South America, Thailand, Australia and the Middle East. 
 In addition, there's been a very positive reaction to the exports of telescopic and rod cylinders from our China facility into all major geographic markets we participate in. Electronics business reported slight sales growth in the quarter compared with Q2 of last year. As we discussed last quarter, we've seen a softening of reed switch sales into China and Asia-Pacific markets and a softening demand for magnetic prices of certain large OEM customers. We have continued to implement cost reduction efforts to mitigate the effect on profitability. Looking forward, we have a number of new product launches that began this month and will continue throughout the calendar year. We expect these product launches to be measurable effect on our revenues in fiscal 2013. For example, we just launched a float sensor into the HVAC market where we have a good opportunity to take market share. We believe that there are significant opportunities to leverage the innovation at the Electronics business into long term revenue and profitability growth. 
 Please turn to the summary on Slide 19. As we enter the second half of our fiscal year, the uncertainties surrounding the macroeconomic environment gives us reason for some caution. We are, however, better prepared for a possible slowdown in the economy than any time in the history of our company. We have maintained a strict focus on cost control and productivity improvements, and this has resulted in substantially improved operating leverage, increase cash generation, significant debt reduction and a much stronger balance sheet. Moreover, with the expected divestiture of ADP, will provide additional cash to invest in profitable growth, allow management to focus on our remaining businesses and boost our overall margins and the asset return metrics. 
 Let's review close by reviewing our operational objectives for the remainder of fiscal 2012. First, we are committed to driving profitable organic growth. The success of our organic growth initiatives was evident in our first half fiscal 2012 results, and we will continue to make the necessary investments to develop innovative new products, penetrate new geographic markets and increase market share. Second, we also continue to build a solid pipeline of acquisition targets as part of our acquisition strategy. Our recent acquisitions has been highly successful in terms of achieving our strategic objectives and in contributing to both top and bottom line growth. Third is part of our top line focus, we also have engaged with the markets and our customers to implement price increases in order to offset some of the commodity inflation with experience. Again, we've already seen some success with these efforts in the first half of the year. And finally, we're maintaining our focus on improving our operations and tightly controlling our expenses. With that, Tom and I'll be happy to take your questions. Operator, can you assist? 
Operator: [Operator Instructions] Your first question comes from the line of Michael Saloio with Sidoti & Company. 
Michael Saloio: My first question just has to do with the food service business. I was wondering if you could provide a little more detail on kind of what the trends were in the quarter? And why you kind of saw some softness relative to your expectations in that business in the quarter? 
Roger Fix: Well, again, taking it kind of piece by piece. In the refrigeration side of the business, we saw a real strong growth in the quick service side of the business. We -- it's all about which chains are you most hooked up to in terms of your market participation and where on the refrigeration side, very well-positioned on the quick service chains that are growing. That's offset on the retail side where it's -- probably now, CVS, Walgreen's and others have identified that they've significantly reduced their number of new store openings. Several of those chains are focused more on the remodel side, but the remodels are enough to offset the reduction in the new store openings. So net-net, we saw growth on that side of the business but tempered because of what happened in the retail side. And cooking, just the opposite. Our distribution side, the dealer side of the business grew fairly nicely actually, where the chains that we're most hooked up to or our market share is focused on, did not show a lot of growth in the quarter and that impacted our top line results there. 
Michael Saloio: Are you seeing, among your competitors, similar trends to what you just basically portrayed? 
Roger Fix: Obviously, we don't have the inside view of the detail of their numbers, but we think the trends that we're seeing are general across the marketplaces as we interact with both the chains as well as the dealer channel. There are winners and losers out there in terms of what's going on in the quick service side of the business. The larger dealer is attending to take share from some of the smaller dealers. So I think those trends are probably consistent across the market. 
Michael Saloio: Okay. I want to ask a question on engraving. It looks like a pretty solid quarter in the segment. What are your thoughts moving forward into 2012? And if you have any comments on what your customers are saying about platform builds over the next 12 to 18 months would be helpful. 
Roger Fix: Well, it's hard to generalize because, again, we participate and have significant share with the big 3 here in North America with the major OEMs in Europe and also with the Asian both Japanese and Chinese. But what I would say is that the market is definitely healthier than it was certainly 2 or 3 years ago. I think you're seeing, as a result of that, a desire on the part of the OEMs to continue to invest in new platforms and in the remodels of existing platforms. We think our position is very unique in the sense that we're the only multi- texturizing company that has a global presence. All of our competitors are regional in nature. As more and more, the OEMs are going to what we call global platforms, where they require mold texturizing services around the world that our ability to coordinate work going through a number of our plants simultaneously in different parts of the world, assuring consistent quality, consistency in mold texturizing, consistency in the service really uniquely positions us. So again, I think we'd say that we see the market as generally improving and the build count, certainly North America is still well below the peak values as it was say 5 or 6 years ago. But as I mentioned in my comments, we're really trying to position our business for the emerging economies. We're certainly in Brazil and in China. We're seeing double-digit kind of increases in build count which we think, ultimately, will continue to benefit our business as well. 
Michael Saloio: Okay. That's really helpful. I apologize if I said build count. I guess what I'm really asking is -- maybe this is the better question. What are you seeing internationally as far as platform refreshes, which is more of an impact to your business in build count, correct? 
Roger Fix: Correct. I think build count speaks to the general health of an OEM. If they're growing, they're tending to be investing more in new platforms or model refresh, because it's just economically stronger and more able to do that over the long term. So again, it's hard to generalize because from quarter-to-quarter, though, with different number of launches, but we don't see any particular negative trends from what we've experienced, say, over the last 12 to 18 months. 
Michael Saloio: Okay. And just one last question on Engineering Technologies. Could you give us a ballpark estimate as to what percentage of that overall business including Metal Spinners now is oil and gas? And secondly, medical? And if you could speak to some of the trends you're seeing there, that would be helpful? 
Roger Fix: I really can't -- we haven't disclosed specifics on by sector, and I wouldn't want to shoot off the cuff. I think the trends that we can definitely speak to -- the oil and gas is very much an emerging opportunity. When we bought the business not quite a year ago, there had only been really some pilot level activity that occurred in the prior 12 to 18 months before our ownership began. Since that time, we solidified a much better outlook of what the profile of oil and gas looks like for us going into the future. And we see that growing into a sizable opportunity could grow into, say, in the $5-million to $10-dollar business over the next 4, 5 years quite easily. So we see that as growing from essentially nothing to a sizable piece of that business. The medical side was -- is a business or is a segment that Metal Spinners was well-developed in and participated in at the point of our acquiring the business. We see that growing, but again of a larger base of the percentage or the impact on the overall top line won't be as great as the oil and gas side because, again, we're growing from basically 0 to a sizable piece of the business. 
Operator: [Operator Instructions] Your next question comes from the line of John Walthausen with Walthausen. 
John Walthausen: Could you update us on the with some granularity on the acquisition strategy for the different businesses? 
Roger Fix: Well, without disclosing specific targets, each business unit or each of our segments if you have different needs so I could probably just generalize them and go through each of the segment. In the food service side, we've identified specific product lines particularly on the cooking side of the business. I just want to say on the refrigeration where we feel like there are gaps in our product portfolio, where a bolt-on or tuck-in type acquisition would help us fill out that product offering. The Tri-Star acquisition we did a little over a year ago is a good example where we bought in a range product line that was prior to that missing from our portfolio. And again, as other product gaps out there that we're very interested in filling through acquisitions. In the Engineering Technologies area, geographic expansion, as well as what I'll call mostly associated manufacturing processes are potential targets that we would like to pursue, in that regard, Metal Spinners was a good example. Metal Spinners gives us exposure into the European marketplace that we here before hadn't been able to penetrate because of location. They also had a different end-user profile than what our legacy businesses and our Spincraft business had been. And then getting outside to just pure spinning and fabrication, we think there's some other manufacturing processes that would be synergistic to spinning and heavy fabrication that will allow us to bring a broader array of products to our existing customer base. So kind of a twofold view on acquisitions in that part of the world. And the other Businesses, again, it's more the same, looking for either opportunities to expand geographically or to bring in complementary products that we can move to our existing channels to leverage our infrastructure both from a sales standpoint as well as from a plan standpoint. 
John Walthausen: Okay. It's helpful. And then in the Electronics and Hydraulics, at this point no particular strategy to add to those? 
Roger Fix: No, I wouldn't say that again without going into more detail. I'd say that we're looking for opportunities really across-the-board in the -- 4 business groups that we now have in the continuing operations. 
John Walthausen: Okay. In your comments about the outlook, you talked about that both food service and engraving would be weaker sequentially. Now, in the food service, that would kind of be expected given the seasonality of that business, do you mean a more profound slowdown should be expected than just a seasonal? 
Roger Fix: No, no, but we'd like to remind people that, that business in particular is seasonal. So no, nothing profound but again, just a reminder that, that business because of construction side is always the weakest in Q3. And on engraving, it's a combination of 2 things. The lumpiness on the OEMs went to very strong OEM platform profile in Q2 that looks to not repeat in Q3 and that's just the lumpiness associated the business. And then on the roll engraving and capital equipment side of the business, historically, it also is weakest in Q3, so a combination of those 2 things were the reason to give folks that perspective. 
John Walthausen: Right. In terms of just looking across the business, the bookings that you're experiencing, would you characterize it as symptomatic of a slowdown in the economy or you're putting out your notes about what may have been going forward more from reading the press and hearing the economic commentators? 
Roger Fix: More of the latter. To address your point about bookings. With the exception of our Engineering Technologies group or our bookings and order profile go out depending on segment 6 to 12 months, we have pretty reasonable visibility. In the other businesses, our backlog and order profile is measured in weeks, certainly 6 weeks or less. So it's -- we really can't look at that. My comments are to your point more just looking what's going on in the world and particularly in Europe and wondering about the knock on effect of certainly some recessionary trends in Europe and what that would do to the U.S. economy, the world economy in general. I don't think my perspective is particularly unique for companies in our position. 
Operator: At this time, we have no further questions. I would now like to turn the call back over to Mr. Roger Fix for any closing remarks. 
Roger Fix: Once again, we thank everyone for their participation. We always appreciate the questions, and we look forward to chatting next quarter. Thank you. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.